Operator: Good afternoon. My name is Connor, and I will be your conference operator today. At this time, I would like to welcome everyone to the Stericycle Third Quarter Earnings Conference Call. [Operator Instructions] Sean McMillan, VP of Corporate Finance, you may begin your conference.
Sean McMillan: Thank you, and welcome to Stericycle's quarterly conference call. Joining me today -- on today's call will be Dan Ginnetti, CFO; Rich Kogler, COO; and Charlie Alutto, CEO. I will now read the safe harbor statement. Statements by Stericycle in this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks and should be viewed with caution. Factors described in the company's Form 10-K, 10-Q as well as its other filings with the SEC could affect the company's actual results and could cause the company's actual results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after this date that may bear upon forward-looking statements. I will now turn it over to Dan.
Daniel V. Ginnetti: Thank you, Sean. The results for the third quarter are as follows: revenues were $667.9 million, up 24.9% from $534.6 million in Q3 2013. And the internal growth, excluding returns and recall revenues, was up 10.3%. Domestic revenues were $407 million -- $470.7 million, of which $454 million was domestic-regulated waste and compliance services and $16.6 million was recalls and returns. Domestic internal growth, excluding recalls and returns revenues, was up 8.6%, consisting of SQ, up 9%; and LQ, up 8%. International revenues were $197.2 million, and internal growth, adjusted for unfavorable exchange impact of $4.1 million, was up 14.3%. Acquisitions contributed $93.8 million to the growth in the quarter. Gross profit was $279.5 million or 41.9% of revenues. SG&A expense, including amortization, was $125.3 million or 18.8% of revenues. Net interest expense was $16.6 million. Net income attributable to Stericycle was $82.8 million or $0.96 per share on an as-reported basis and $1.08 adjusted for acquisitions-related expenses and other adjusted items. Now for the balance sheet. Our covenant debt-to-EBITDA ratio was 2.26 at the end of the quarter. The unused portion of the revolver at the end of the quarter was approximately $568 million. In the quarter, we repurchased 198,728 shares of common stock on the open market in an amount of $23.2 million. At the end of the quarter, we have authorization to purchase an additional 5 million shares. Our CapEx was $22.6 million, slightly higher in the quarter due to the timing of planned projects and the successful completion of Title V incinerator upgrades. Our DSO was 62 days. Year-to-date as-reported cash from operations was $345 million. When adjusted for recall reimbursement and onetimers, cash from operation was $387.1 million. I will now turn it over to Rich.
Richard T. Kogler: Thanks, Dan. In the quarter, we closed 16 transactions, 6 domestic and 10 international. The international acquisitions were 1 in Romania, 1 in Chile, 1 in Portugal, 2 in Spain, 1 in Canada, 2 in the U.K. and 2 in Japan. Revenues from the 16 acquisitions were $3.9 million in the quarter and annualized are approximately $27.3 million. Our worldwide acquisition poolroom remains robust with well over $100 million in annualized revenues in multiple geographies and lines of business. I'm pleased to report the integration of PSC continues to be on track, and the business is performing very well. As synergies are realized, margins in Q4 and 2015 will improve. Once fully integrated, this business will contribute to the continued growth of our regulated waste business. Our international business also performed well, delivering strong internal growth in the quarter. We experienced higher revenue growth in both Latin America and Europe. The international team remains focused on multiple revenue opportunities in all geographies. Looking ahead, we remain excited about our expanding growth opportunities. Our global acquisition strategy increases our customer base, providing long-term growth platform for selling a suite of services for health care, commercial and retail customers. These services include Sharps Management, pharma waste, StrongPak and multiple environmental compliance and communication solutions. As customers adopt multiple services, it can more than triple our revenues. At the end of the quarter, we had approximately 598,900 accounts, of which approximately 577,700 were small. The remainder were large. In closing, we want to thank each member of our worldwide team for their strong performance and continued commitment to our customers, our shareholders and our values. I'll now turn it over to Charlie.
Charles A. Alutto: Thank you, Rich. I would now like to provide insight on our current guidance for 2014 and 2015. Please keep in mind that these are forward-looking statements and our guidance does not include future acquisitions, divestitures, integration, acquisition-related and other adjusted items. For 2014, we believe analyst EPS estimates will be in the range of $4.26 to $4.27. We believe analyst revenue estimates for 2014 will be in the range of $2.55 billion to $2.57 billion, depending on assumptions for growth and negative impact from foreign exchange rates. We anticipate 2014 internal growth rates to be: SQ, 8% to 10%; LQ, 5% to 8%; international, 6% to 8%; and recall and returns revenue between $85 million to $95 million. We believe analysts will have estimates for 2014 free cash flow between $413 million to $420 million. 2014 CapEx is anticipated to be between $82 million to $86 million. We expect a full year as-reported tax rate to be approximately 34%. This assumes a tax rate for the remainder of the year to be approximately 35%. Now I'd like to provide preliminary guidance for 2015. For 2015, we believe analyst EPS estimates will be in the range of $4.69 to $4.75, and the share count of 86.4 million, which we are comfortable with. We believe analyst revenue estimates for 2015 will be in the range of $2.82 billion to $2.87 billion, depending on assumptions for growth and negative impact from foreign exchange rates. We anticipate 2015 internal growth rates to be: SQ, 8% to 10%; LQ, 5% to 8%; international, 5% to 8%; and recall and returns revenues between $95 million to $120 million. We believe analysts will have estimates for free cash flow in 2015 between $449 million to $460 million. 2015 CapEx is anticipated to be between $96 million to $100 million. We expect the 2015 full year as-reported tax rate to be between 35.5% to 36%. In closing, we are very pleased with our third quarter 2014 results and remain excited about our multiple growth opportunities for 2014 and beyond. Thank you for your time today. We'll now answer any questions. [Operator Instructions]. Connor, you can now open the Q&A queue.
Operator: [Operator Instructions] Your first question comes from the line of Ryan Daniels with William Blair.
Nick Hiller: This is Nick Hiller in for Ryan Daniels. I was wondering if you could just talk a little more about the international side and what kind of drove that acceleration on the 14% internal growth?
Charles A. Alutto: Sure, Nick. As Rich had said in his comments, we saw strength in both Latin America, coupled with a new LQ Europe contract. Some of that European contracts were related to our U.K. patient transport business. We had success on some recent NHS tenders, offering a combination of Communication Solutions with patient transport services, which differentiate the SRCL service offering, really demonstrating that our capabilities can be shared between businesses that we have. Reminding everybody that we do come with lower margins on start-up, but LQ margins, we believe, over time. And again, just to educate everybody, these are long-term contracts, 5 to 10 years of recurring revenues, and it's a great example of our multiple services strategy.
Operator: Your next question comes from the line of Gary Bisbee with RBC Capital Markets.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: If I could just follow up on that question about the international. The guidance for 2015 is sort of where it's been, 5% to 8%. How do you explain the 14%? Was there some onetime start-up with these contracts revenue that doesn't recur? Or that -- it just seems like a big delta this quarter.
Charles A. Alutto: Yes, I mean, some of the contracts do come with some start-up revenue, certainly, depending on the geography and the lines of business. We, obviously, brought the guidance up, Gary, for the remainder of the year now that we're 3 quarters through. We feel very confident in the 6% to 8% projection. And then, in 2015, we might have some comparability issues. As we look at quarter-to-quarter, we feel more comfortable on the normal range of 5% to 8%.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: But -- so should we think of that 14% likely slowing quite a bit next quarter? I mean, I think, mathematically, this strong quarter brings you up for the full year. So there would appear to be some nonrecurring piece to it. That's a reasonable way to think about it, right?
Charles A. Alutto: Yes, there will be a little bit of that. We also confident that will be, for the year, in the range of 6% to 8%.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: Great. And then just the follow-up I'd ask is we -- I've got a lot of client questions recently about the contract to transport the Ebola-related waste. I assume that that's not been significant volumes at this point and hopefully, it won't become so. But can you give us any color on that? Is that -- could that be material? Are you at all involved in preparations? Or is it literally just the 1 or 2 cases we've seen to date, where we've seen fresh reports about you transporting and incinerating stuff?
Charles A. Alutto: Sure, Gary. Let me give you some general comments on Ebola, then maybe touch on the part around the financial impact to Stericycle. I think that would be helpful. We have been working closely with our customers and various regulatory agencies like the CDC and the Department of Transportation, DOT. Our focus has been on safety of the general public, obviously, health care workers and our team members. Each Ebola incident is being handled on a case-by-case basis. As far as financial impact, squarely, the focus has been on safety and compliantly serving the needs of our customers. We don't have any really financial -- there's no really material financial impact and we hope there won't be any in the future.
Operator: Your next question comes from the line of Isaac Ro with Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Just a follow-up on the Ebola topic, which is to say, is there a chance there might be ancillary impact to your business in the form of increased customer preparedness or changes in protocol around disposal of medical waste? Anything that might sort of give you -- sort of indirectly beneficial to your business as a result of the overall awareness?
Charles A. Alutto: Yes. I think, Isaac, anytime there's awareness about segregation of waste and training for employees. I think that helps our business. As you know, we have the compliance service aspect to our SQ business, where we're consultative to all of our customers, including hospitals. I think this is showing that we are certainly in a leadership position. When you see stories about Ebola waste, Stericycle is at the forefront of those stories. So it's really, I think, been a benefit by highlighting Stericycle's leadership position in our space, which is the safely collecting, transporting disposals, medical waste in general.
Operator: Your next question comes from the line of Scott Schneeberger with Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: The RMS was a little light, and the 2014 guidance is coming down as a result. But the 2015 guidance for RMS is a pretty broad range with a high end fairly high. Do you see something coming through? And could you speak to the present and to the future there?
Charles A. Alutto: Yes, thanks, Scott. I think -- a few things on the recall trend. We think our awareness campaign continues to be successful. And the reason for that is year-to-date, we've managed a record number of worldwide events that we've ever managed before. The events, though, have been at a lower-dollar per event when comparing it to previous year. So when we look at, this year obviously bringing the guidance down where we are 3 quarters through the year, but when we look at next year, if we continue to handle on a record number of events and there are blockbuster events on the top end of our range, that's really why we left the top end at the 120 million number, which is really no visibility we have in 2015. As you know, it's a lumpy business. We don't have a lot of visibility even as we're entering a quarter, let alone a year. But we are positive in the way we think about the fact that we just continue to handle more events, a lot of repeat customers and even new customers that we add on for projects in any quarter that we have work there.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Great. And then, touching upon the acquisitions. Six U.S., 10 international, I believe, and all in existing markets. Could you speak to small versus large and both and types? Are these all medical waste? Or are there some different areas?
Daniel V. Ginnetti: Yes, thank you for the question. There were 16 acquisitions in the quarter. 14 of them were medical waste, 2 were Communication Solutions, and the mix is usually about 50-50, large and small.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And just following up on that, were the patient communication, were those U.S. or international?
Daniel V. Ginnetti: One was U.S., one was international.
Operator: Your next question was comes from the line of Barbara Noverini with Morningstar.
Barbara Noverini - Morningstar Inc., Research Division: You mentioned that the PSC integration is going well. Can you illustrate what milestones you've achieved thus far? And what's left to be done regarding the integration?
Charles A. Alutto: Yes. I think if we take everybody back to the integration on PSC, we said we'd see areas of synergies in the long haul in route density and disposal costs. We are on track. To give you a little bit more color there, we have done a good job of getting some of the StrongPak and the legacy Stericycle hazardous waste into some of the TSDF facility. So we have seen some savings in long haul. There's still some work to be done in that area. Route density was one that would always ever be in the latter part of integration, so that will come in by 2015 and we continue to work on the disposal cost. That really comes in after we're successful of getting the waste streams into our new network of TSDFs, which as you know, we acquired 12 in an acquisition. We only had 1 previously, so now we have 13. We continue to make good progress on integration of the different departments, IT, HR, sales. I think, overall, we're little bit ahead of where we thought we'd be with respect to some of those broader initiatives.
Barbara Noverini - Morningstar Inc., Research Division: Got it. That was helpful detail. And then the 2015 CapEx estimates that you guys are comfortable with does imply a little bit of a step-up. So are those investments that you're making because of PSC? Or is there something -- some other investments you're planning for 2015?
Daniel V. Ginnetti: Yes, the CapEx is in line with our normal range. It -- next year, it's about 3.4% of total revenue and in line with where we've been historically.
Operator: [Operator Instructions] Your next question comes from the line of Erin Wilson with Merrill Lynch.
Erin E. Wilson - BofA Merrill Lynch, Research Division: Could you -- could the fuel opportunity be, I guess, opportunity for you year-over-year. Just with the fuel cost coming down, is that a meaningful tailwind for you?
Richard T. Kogler: Actually fuel cost, total -- we look at sort of total energy, which includes fuel. It just moved sequentially from 5.5% to 5.4%. And really, we haven't seen much of a change ourselves. Number two, that for us, we only calculate this on the sections of the company that deal with transportation, where fuel and energy apply.
Erin E. Wilson - BofA Merrill Lynch, Research Division: Okay. And then, I understand you're not really directly correlated with volume trends, but what are you seeing there? And any sort of impact from the pickup in health care demand we've seen more recently?
Charles A. Alutto: Yes, I think from a volume trend standpoint, we haven't seen anything out of the norm. I think last year -- if you think about this year Q1, we certainly had an impact from weather. We saw that rebound in Q2 and it continued in Q3. As far as Obamacare and the Affordable Care Act, and what that has meant in volume, we again have not seen anything material in that area, Erin. I think it's been a normal year as volume has ramped up a little bit as the year has gone on, especially on the LQ side. And I think we saw that in the LQ internal growth rate number, which came in at the high end of the range at around 8%.
Erin E. Wilson - BofA Merrill Lynch, Research Division: Okay. And lastly, can you speak to the acquisition pipeline? Where is the focus primarily by service and by geography type?
Charles A. Alutto: Sure, on the pipeline for acquisitions, as Rich had in his opening script, certainly, it's north of $100 million. The focus is always in geographies and business plans that we're currently in. So we stay focus really both internationally and domestic. Occasionally, we look at new countries that we have, but I would tell across all lines and all sectors in those current countries that we're in, we're active in all of those right now.
Operator: Your next question comes from the line of David Manthey with Robert W. Baird.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: First off, I'm wondering about gross profit margin. I was under the impression you were talking about a 45-basis-point drag from PSC, and then assuming you probably pick up the normal 10 or 15 basis points, it still would put us somewhere in the high 42s rather than the 41.9%. So it's looking like an 80-basis-point delta there. I was wondering if you can help me understand where that came from.
Daniel V. Ginnetti: Yes, definitely. I think the best way to look at margins is to take it sequential quarter-over-quarter. So gross margins were impacted by lower return and recall revenue in the quarter. Or by a full quarter impact of PSC and by stronger revenue growth, partially offset, though, by gross margin expansion in our core business. So let me take you through that bridge there, and I think it will add some color. Our core business is on track and did improve by greater than 10 basis points. The impact of PSC, as we forecast, was about 40 to 45 points -- basis points, unfavorable. Returns and recall is a lumpy business, as you know. And we did see the unfavorable impact of the lower revenue in the quarter by about 30 basis points. And then, the strong revenue growth that we saw in the quarter, including international at 14%, LQ at the highest end of the range, and that includes some onetime PSC project work, all came in at expected margins. And the result was an unfavorable impact of about 27 basis points. So the aggregate of these are a 41.9% gross margin.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay. Okay. It looks as though -- just running the quick numbers, it looks like about what, you got 10. You've got about -- it looks like about 90 basis points. I'm still not getting the bridge from 43 to 41.9%.
Daniel V. Ginnetti: So if you start at 43, you're going to have 10 favorable, about 40 to 45 unfavorable, plus you're going to have 30 basis points on the lower revenues from returns and recall, and then about 27 basis points from those higher revenues from our international business and our large quantity business, being at the high end of the range, was about another 27 basis points.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay. All right. And then, in terms of the tax rate and sort of the non-deductibility of some of these expenses, I would've thought -- SG&A seemed like it was more or less in line and I'm just wondering if you could help us with that as well. It seemed like SG&A was about where you thought. It didn't seem like it was an unusual number, but tax rate was quite a bit lower.
Daniel V. Ginnetti: Yes, with the -- are you talking about what some of the benefits of onetime tax was? Or the actual role of SG&A?
Charles A. Alutto: I'd go to the onetime tax.
Daniel V. Ginnetti: Yes, we'll -- all right, Dave. So the onetime tax was a release of our FIN 48 tax reserves, mostly a result of a lapse in the statute. These amounts are not final until they're released and remain uncertain. So as a result, they weren't in our guidance.
Operator: Your next question comes from the line of Shlomo Rosenbaum with Stifel.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Just a little housekeeping on the guidance. The EPS range seems to be 10.1 to 11.2. The free cash flow range seems to be 8.7% growth to 9.7%. Are you guys doing some build or particular increase in CapEx? Is there something going on in terms of building a new incinerator or something like that happening?
Daniel V. Ginnetti: No. As far as we -- the question before on CapEx, that's in line with the percent of total revenue growth. So we feel comfortable on that range and the free cash flow, I think, is a good estimate. As you know, we've come out of the year conservative. But I think that's within the normal guidance that we've given you historically.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: So why is -- why would you expect free cash flow just to be a little bit lower than EPS? Is there anything abnormal about that in terms of the growth? Or that's just...
Charles A. Alutto: No, I think it could be better. I mean, obviously, it's a conservative view. I think if you go back to our history, they've never matched completely. Shlomo, if you go back over the years, the guidance on increases of EPS and cash flow happen. We do get inflows and outflows related to the recall and the returns business. So that has an impact on us. So you have to look at, obviously, last year was a heavy year with recalls and returns. This year hasn't been as heavy, so more cash leaving. So there's a lot of factors that come into on the free cash flow number.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay, and then just a follow-up in terms of international growth. Clearly, you guys have done a good job over there. Is there some way you can segment for us how much of that revenue might've been what I would call kind of funky-ish revenue? The patient transportation and stuff that we don't normally hear about. And how much of it is kind of the normal regulated medical waste or the ancillary services around that? And kind of following up with Gary, how much of that is what you would call a non- -- kind of start-up fees type of thing versus recurring type of revenue?
Charles A. Alutto: Yes, I would you that approximately 50% of it came from newer type of service offerings, primarily the patient transport business. But you know we've got some other things in Spain as well. I don't have the exact number on how much was reoccurring. I mean, most of it is recurring, but there's always start-up costs -- start-up revenue that goes with some of those services. I don't have the breakdown. It's not -- I wouldn't say it's material. It's more of comparability when you're comparing quarter to quarters on what we think the growth rate will be in the future. But I would say, going back to your first question, about 50% is related to newer-type services like patient transport.
Operator: Your next question comes from the line of Sean Dodge with Jefferies.
Sean Dodge - Jefferies LLC, Research Division: Going back to hazardous waste business. The PSC acquisition added a lot of infrastructure pretty quickly. How much more do you think you need to add in the wave infrastructure, either in trucks or facilities to kind of get you to where you think you'd be optimally sized to support a national kind of footprint?
Charles A. Alutto: Yes, I mean, the trucking size, just like the med waste business, we're able to add that on as business demands and how the market determines where we have to add certain vehicles. We can also share vehicles between locations if we have to. That's not as -- a big concern. We feel really comfortable with the infrastructure that we have today. Certainly, Sean, there are some geographies that if an asset comes to market, and we think will be a good fit for the business we will look at it and determine that at that point. But I think right now, we're comfortable to run a national service like we have. I think we're in a good spot, but we're always looking to add on assets and will determine those on a case-by-case basis, depending on if they become available in the marketplace.
Sean Dodge - Jefferies LLC, Research Division: Okay. And then, the sales strategy around hazardous waste, are -- is that solution being sold by the same individuals that are selling medical waste? Or are they separate? And did you acquire any type of sales platform or infrastructure or sales force along with the PSC acquisition?
Charles A. Alutto: Yes, good question. I mean, we talked about that, I think, in the first call. We did get a part of infrastructure and expertise we got on the PSC deal was a very good seasoned sales team and sales process. As far as your question about are we leveraging the medical waste reps. Certainly, there's opportunities. They're working very closely together, especially in health care, where we have some really good relationships. We're bringing the PSC or we're calling the hazardous waste reps to sell that business. They know that market really well. They know lines that we can sell and certainly, we're leveraging those relationships. Together, we also have haz waste sale. We feel we have a good strong combined team because we've now integrated the Stericycle hazardous waste sales team with the PSC hazardous waste team.
Operator: Your next question comes from the line of Kevin Steinke with Barrington Research.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: I was wondering if you'd be willing to quantify what you see the benefit of PSC synergies being sequentially on gross margin from 3Q to 4Q?
Daniel V. Ginnetti: The gross margin on it? So yes, going into Q4, you should see an improvement of about 30 to 40 basis points, which is what we've given you guidance as. That's coming off the impacts of the prior periods of 200 basis points down then 45 for 4 quarters now we're back up.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay, great. And then, on the Communication Solutions business, can you give us an update specifically on your progress towards building a common technology platform for that business and perhaps timing of rollout, and then benefit to the businesses' efficiencies and margins from that tech platform?
Charles A. Alutto: Yes, thanks, Kevin. I'll spend a little time on this because I think it's important to kind of level-set where we are and what we're trying to accomplish. I think we are making good progress. I think everybody has to keep in mind that we are purchasing many small centers. They run on antiquated and outdated systems that lack scalability, so that's the issue. All aspects of the platform now are being enhanced. So when we think about what are those -- what are all those aspects, it's network service, it's telephony service through platform, the physical infrastructure or what is really the hardware, software systems like scripting, scheduling a dispatch. Dispatch is how do we get the message back to the health care provider or the customer? Our database master and our billing platform are being revamped. We're also looking at a reporting platform, not only external to the customer, but internally as well. All the above-mentioned updates and the system enhancements that I've just touched on are either in pilot or in process at this point. And some of these projects will obviously run through 2015. But why is that important? It's important because we operate in a highly fragmented market. And if we make those system investments in our platform, that obviously gives us a nice competitive advantage in the market, more reliable centers, better customer reports, that's an advantage in the marketplace. And then, obviously, the new and improved platforms, once they are finished will provide a more efficient operations, which provide better margins, and allow us to run fewer communication centers, also provide the ability to integrate acquisitions on a more timely basis. So a lot of work to be done there, but a lot that I think we're making really, really good progress on and it will be, for us, a differentiator in the marketplace.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Great. If you could just sneak one quick housekeeping in. What's the impact from currency that you're factoring into your guidance for the remainder of the year?
Daniel V. Ginnetti: Yes. You're going to see about an $8 million impact in Q4, and we see and other analysts out there looking at that and then going into 2015 of about $30 million to $40 million.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Charles A. Alutto: Thank you, Connor. Thank you, all, for participating on today's call. We appreciate the continued interest in Stericycle. I look forward to seeing everybody on the road during the next couple of months, and have a great evening. Thanks, everybody.
Operator: This concludes today's conference call. You may now disconnect.